Operator: Good morning. My name is Steven, and I will be your conference operator today. At this time, I would like to welcome everyone to Energizer's First Quarter Fiscal 2017 Conference Call. After the speakers' remarks, there will be a question and answer session. As a reminder, this call is being recorded. I would now like to turn the conference call over to Jackie Burwitz, Vice President, Investor Relations. You may begin your conference.
Jacqueline E. Burwitz - Energizer Holdings, Inc.: Good morning. And thank you for joining us. During the call, we will discuss our first quarter fiscal 2017 results and provide an update to our full year outlook for fiscal 2017. With me this morning on the call are Alan Hoskins, Chief Executive Officer; and Brian Hamm, Chief Financial Officer. This call is being recorded and will be available for replay via our website, energizerholdings.com. During the call, we may make statements about our expectations for future plans and financial and operating performance. Any such statements are forward-looking statements which reflect our current views with respect to future events. We will also refer to non-GAAP financial measures. A reconciliation of non-GAAP financial measures to comparable GAAP measures is shown in the press release issued earlier today, which is available in the Investor Relations section of our website, energizerholdings.com. Information concerning our category or market share discussed on this call relates to markets where we compete and are based on estimates using Energizer's internal data, data from industry analysis and adjustments that we believe to be reasonable. Investors should review the risk factors in our Form 10-K and our other SEC filings for a description of the key factors affecting our business. These risks may cause actual results to differ materially from our forward-looking statements. We do not undertake to update these forward-looking statements. And with, I would like to turn the call over to Alan.
Alan R. Hoskins - Energizer Holdings, Inc.: Thanks, Jackie, and good morning, everyone. As you've seen in our earnings release this morning, our team delivered strong results in the first quarter on the top and bottom lines. Fiscal 2017 is off to a fast start driven by top line growth, improved margins and tight cost controls. We also continue to see improvement in the overall battery category as the volume and value are up slightly primarily due to the impact of Hurricane Matthew in the US. In addition, the category benefited from improved product mix along with the decline in the depth and frequency of promotions during the quarter in several key markets including the US. We view both of these data points as positive signs for the category. Now, turning to our first quarter results. Organic sales were up 7% and adjusted earnings per share were up 30% versus the prior year. As Brian will talk about in a few minutes, there were four primary drivers to the organic revenue gains this quarter: distribution shelf space gains, incremental holiday activity, improved pricing and mix, and storm volumes. We've been able to gain distribution and space by executing against our strategic priorities, leveraging our full portfolio into a brand strategy, Energizer's global value shares up approximately 3 points in the latest 13-week data in measured markets where we compete. We were able to leverage the increased distribution and space through exceptional in-store execution that drove strong performance throughout the holiday season. Our team drove top line improvement including pricing actions in select markets while continuing to closely manage costs. Gross margins including unusuals improved 290 basis points versus prior year, and we held SG&A costs in line with our expectations. As a result, we delivered $91 million of free cash flow and continue to forecast in excess of $180 million for the year. We've achieved our financial objectives by leveraging our three strategic priorities leading with innovations, operating with excellence, and driving productivity gains. In the quarter, we continued to leverage the innovation we rolled out across our battery portfolio in fiscal 2016 to help drive the distribution gain which contributed to our organic net sales increase of 7%. The ongoing commitment to innovation in our auto care business was also an important driver of our performance which remains on track to meet our expectations, investing in innovation is a key driver of delivering value to Energizer consumers and retail customers in fiscal 2017 and in the years to come. We continue to operate with excellence by executing effectively on the fundamentals across the value chain. Success in this for any holiday season is all about leveraging innovation, our integrated supply chain, and in-store execution and our team delivered. In addition to strong holiday volume, we saw increased demand from storms. The focused efforts of our supply chain and merchandising teams ensured our retail customers had the right product at the right location at the right time. Our team is also executing our auto care integration with excellence. And we continue to meet our goals while delivering on both the top and bottom lines. In order to position ourselves for long-term success, we continue to drive productivity. Our focus on efficiency was one of the drivers of the approximately 290-basis point improvement in the gross margin rate versus the prior year. In addition, SG&A as a percent of sales excluding spend in acquisition and integration cost, was 14.4% down from 15.3% in the prior year quarter and this was a result of higher sales and continued tight cost controllables. We also maintained our balanced approach to capital allocation as we continued to invest in our business for the long term. We paid a $0.275 per share dividend, which represents a 10% increase over the prior year, and repurchased 182,000 shares during the first quarter. A fast start to the year and solid underlying business fundamentals have provided us the financial flexibility to increase investments in support of innovation, our product portfolio and productivity initiatives while overcoming unfavorable currency and commodity cost headwinds. As a result, we are maintaining our full year fiscal 2017 adjusted earnings per share outlook of $2.55 to $2.75. Now, I'd like to turn the call over to Brian for our financial review and a more in-depth review of our outlook for the remainder of the year. Brian?
Brian K. Hamm - Energizer Holdings, Inc.: Thanks, Alan, and good morning, everyone. During my prepared remarks, I'll discuss the financial results for the first quarter and provide an update to our outlook for fiscal 2017. Before getting into the numbers, a quick housekeeping item, as you may have noticed in our press release, we have changed our segment reporting to better reflect how we manage the business. We have combined North America and Latin America into the Americas. Asia-Pacific, and Europe, Middle East and Africa will remain separate segments. Now, turning to our quarter results. Adjusted EPS increased 30% versus prior year due to strong top line performance, improved gross margins, continued tight cost controls, a favorable tax rate, and a $0.04 contribution from the auto care acquisition. I'll touch on each of these. Total net sales were up $53 million, or 10%, as organic sales increased 7% and a contribution from our auto care acquisition was 5%, partially offset by a negative 2% impact from unfavorable currency. As Alan mentioned, the organic sales growth of 7% was primarily attributable to four items. First, the carryover benefit of new distribution and shelf space gains achieved throughout fiscal 2016 contributed 3%. We expect to see some of these benefits impact the balance of the year, but we will begin to lap the prior-year distribution gains and related fill volumes beginning in the second quarter. Second, incremental holiday activity added another 3%. Third, favorable pricing actions in certain markets and product mix added approximately 1%. And finally, increased volumes related to storms contributed to the remainder of the organic growth. Strong sell-through early in the holiday season resulted in replenishment orders prior to the end of the quarter. As a result, we believe certain retailers ended the quarter with elevated inventory levels versus our historic norms but comparable to the levels at the end of the first quarter of fiscal 2016. Similar to last year, we anticipate an inventory de-load to occur. However, the timing may differ as we expected the de-load to occur in the second quarter compared to the fourth quarter in the prior year. Looking at our net sales performance across the three geographic segments for the first quarter. Americas' net sales increased $51 million or 16%. Organic sales in the base business increased approximately 11% as a result of distribution shelf space gains, strong holiday activity, and pricing in certain markets. The auto care business contributed another 7.5%. These increases were partially offset by unfavorable currency impacts of approximately 2%. Our Europe, Middle East and Africa net sales decreased approximately $3 million or 3%. Organic sales in the base business were up nearly 1%. The inclusion of the auto care business contributed 2% growth. However, these gains were more than offset by unfavorable currency impacts of negative 5.5%. In Asia Pacific, net sales were up nearly 6%. Organic growth in the base business and the inclusion of the auto care business each contributed 2.4% with favorable currency impact slightly over 1%. The organic sales growth was primarily driven by distribution gains, strong holiday activity and pricing in select markets. Now moving to the rest of the P&L, gross margin excluding unusuals in the quarter was 48.5%, an increase of 290 basis points as compared to the prior year. Approximately one-third of the favorability was driven by productivity initiatives, which we expect to continue through the balance of the year. Approximately a third was driven by a favorable overhead absorption due to strong organic sales during the holiday season. We view this as onetime in nature. And the remaining third is due to lower commodity and purchase product costs, which we expect to reverse in the back half of the year as commodity prices have increased across many of our key raw material inputs. We also saw a 90-basis-point headwind due to unfavorable currency which we're able to offset this quarter through favorable pricing and other items. Based upon recent rates, we expect the currency headwinds will persist through the balance of the year. A&P as a percent of sales was 6.1%, up slightly versus the prior year. SG&A spending excluding spin, acquisition and integration costs associated with the auto care acquisition was approximately $81 million or 14.4% on a percent of sales basis compared to $78 million or 15.3% as a percent of sales in the prior year. The improved percentage comparison versus the prior year reflects the benefit of our strong top line performance and tight cost controls. Pre-tax income was negatively impacted by approximately $9 million from the movement in foreign currencies net of hedge impact. Our actual and usual effective tax rate of 28.8% in the quarter was favorable versus prior year due to a larger than expected benefit from the adoption of the stock compensation accounting guidance and our country mix of earnings. Finally, our auto care acquisition continued to meet our financial expectations. In the quarter, the auto care business generated incremental net sales of $28 million, segment profit of $8 million and added $0.04 to our earnings per share. Moving to the balance sheet. We ended the quarter with approximately $300 million in cash. And our debt level at the end of the quarter was approximately $1 billion which equated to 2.8 times debt-to-EBITDA on a trailing 12-month basis inclusive of our auto care business. We also generated $91 million of free cash flow driven by our strong operating performance. Finally, during the quarter, we repurchased 182,000 shares for approximately $8 million. Since our spin-off, we have repurchased approximately 1 million shares, with 6.5 million shares remaining on our board's repurchase authorization. Before turning to our full year outlook, I want to quickly recap the quarter. It was a strong start to the year. We had strong organic revenue growth, improved margins, and continued to control cost. However, it is important to note that the quarter also benefited from several timing related and one-time items that are not expected to continue over the balance of the year. First, net sales benefited from incremental holiday activity, storm volumes and elevated inventory levels at certain retailers which we expect to de-load in the second quarter. Second, our gross margin – of our gross margin favorability approximately two thirds was due to timing or onetime items that are not expected to continue over the balance of the year. These include commodity favorability that we expect to reverse in the back half of the year and favorable overhead absorption due to strong holiday volumes. Finally, earnings per share benefited approximately $0.02 from the tax impact of the stock compensation accounting change. In addition, in the back half of the year, we will face increased headwinds as it relates to currencies and the impact from increased investment spending. Now turning to our outlook for the full year fiscal 2017. As you're aware, we experienced – we had experienced significant currency volatility over the past few months and since the date we communicated, our original outlook for fiscal 2017. In total, unfavorable currencies are expected to reduce net sales by 1.5% to 2.5% and pre-tax earnings by $15 million to $20 million versus the prior year. This represents an approximate $10 million unfavorable pre-tax impact versus the outlook we provided at the beginning of November. Thus far, we have been able to offset a significant portion of this unfavorable impact through pricing actions, cost reductions, and the strong start to the fiscal year. As a result, we are maintaining our current adjusted earnings per share outlook of $2.55 to $2.75. And based upon current assumptions, our outlook is trending toward the middle of the range. However, we are operating in a macro environment with heightened volatility. As we experience additional negative currency movement, it will become increasingly difficult to offset within the current fiscal year. Looking at our specific assumptions in more detail, total reported net sales for the year expected to be up mid-single digits. Organic net sales are expected to be up low-single digits. Over the balance of the year, we expect the carry-over benefit of prior year distribution gains to be offset by prior year fill volumes and storm activity in the second and fourth quarters of fiscal 2016. Although retail inventory levels are elevated by approximately $14 million versus historical norms as we exit the first quarter, they are comparable versus the prior year and should not have a material impact on year-over-year comparability but may impact quarter-by-quarter comparability depending upon the timing of de-load activities this year as compared to fiscal 2016. Incremental revenue from the auto care acquisition is expected to increase net sales by approximately 5% to 6%. These gains are expected to be partially offset by 1.5% to 2.5% of currency impacts based upon the recent exchange rates. Our full-year gross margin rate is expected to increase 50 basis points to 100 basis points versus the prior year driven primarily by productivity improvements. The strong gross margin improvement in the first quarter is expected to be partially offset by unfavorable currency, increase commodity costs and investment spending in the back half of the year. SG&A excluding acquisition integration expenses on a percent of sales basis is expected to be in the range of 19% to 20% representing an improvement of 50 to 100 basis points versus the prior year. The income tax rate excluding integration costs and other unusual items is now expected to be in the range of 29% to 30%. In addition, we expect the acquisition integration costs of $5 million to $10 million related to the auto care business. These costs are excluded from our adjusted earnings per share outlook of $2.55 to $2.75. We have made good progress with our integration efforts and expect that the back office will be fully integrated by the end of the third quarter, and remaining integration efforts will be completed by the end of fiscal 2017. The auto care business continues to achieve results consistent with our original expectations, and remains on track to contribute $0.15 to $0.20 adjusted EPS for fiscal 2017. This represents an increase of $0.10 to $0.15 above fiscal 2016, as the prior results included one quarter of earnings. Capital spending is expected to be in the range of $30 million to $35 million, and depreciation and amortization is expected to be in the range of $40 million to $45 million, inclusive of the full year impact of the auto care amortization. Free cash flow is expected to exceed $180 million. Maintaining our adjusted EPS outlook not only recognizes the solid underlying business fundamentals and strong operating performance in our first quarter, but also the significant currency headwinds which have negatively impacted our results, and we expect to persist throughout the remainder of the year. Before turning the call back over to Alan, I would like to highlight certain prior year comparisons that will impact the remainder of fiscal 2017's results. Last year's second quarter organic sales were up 0.5% due to the favorable impacts of the winter storm volumes and the initial pipeline fill as a result of new distribution and space gains. Both the third and fourth quarter of last year include the impact of distribution and shelf space gains and related fill volumes, partially offset by the de-load of retail inventories during the fourth quarter. In addition, the fourth quarter included our auto care acquisition results and the benefit of hurricane volumes. Now, I'd like to turn the call back over to Alan for closing remarks.
Alan R. Hoskins - Energizer Holdings, Inc.: Thanks, Brian. Before we open for Q&A, I'd like to wrap up with a few key takeaways. First, we had a fast start to the year. We had strong operating performance and also benefited from some one-timing and timing-related items. In total, EPS was 30% above prior year. In addition, we continue to see several positive signs in the category including improved volume and value performance, a favorable product mix shift to premium brands and specialty types, and a reduction in the depth and frequency of promotion. Second, for the full-year, we are projecting strong performance with double-digit EPS growth versus the prior year. This includes overcoming significant currency headwinds in excess of our original outlook. Finally, our team continues to deliver. We delivered on our financial commitments, executing our strategic priorities, enhancing value to shareholders through solid earnings growth and increasing dividend and share repurchase, and we successfully integrated our auto care or integrating our auto care acquisition. I'm very proud of how well the Energizer colleagues around the globe have executed, encouraged by favorable trends within the category, and believe that we will continue to build a solid foundation for long-term success for our shareholders, customers, consumers and colleagues. Thank you for your time and interest in Energizer Holdings. And now, we'll open it up to Q&A, operator.
Operator: Thank you. We will now begin the question-and-answer session. Our first question comes from Wendy Nicholson with Citi Research. Please go ahead.
Wendy C. Nicholson - Citigroup Global Markets, Inc.: Hi. Good morning. Two questions, if I may. First, I know you said on the call that HandStands came in in line with your forecast, but the $28 million was a little bit less than what we have been modeling because I thought $130 million for the year have been spread more evenly. But was that my mistake and not understand the seasonality of the business, but I wanted to just clarify if $130 million is still the right run rate for the fiscal year. And then my second question is just with regard to distribution gains, I know that's been a driver and contributor to your strong growth, are there any big retailers, I don't care who they are, but just conceptually that you expect to lose? I'm just – it still feels like your guidance are conservative, I understand all the moving pieces, but I'm just wondering, are you sure you're not embedding any loss distribution to come, or on the other hand, are there – is there upside to the extent there's more distribution gains to be won over the next few quarters? Thanks.
Brian K. Hamm - Energizer Holdings, Inc.: Wendy, this is Brian. I'll take number one and the last part of number three and allow Alan to comment on distribution wins and changes. First, HandStands, quarter one because of seasonality is the lightest quarter. As you would expect, in the auto care category, spring and summer tend to be the strongest quarters. And so, nothing has changed versus our expectations in our full-year outlook on the top and bottom line as it relates to HandStands. As it relates to our full-year guidance, quarter one was very strong and the underlying fundamentals of the business are solid. But based upon recent current assumptions, we do believe our full year outlook is appropriate. And as we mentioned in our prepared remarks, there is a number of moving parts in quarter one. There's some one-time benefits that we don't expect to continue over the balance of the year, as well as some benefits in quarter one like commodities that we expect to reverse over the course of the year. We will have the accretion benefit from HandStands in the second and third quarter, but a lot of that favorability is going to be offset by the currency headwinds because currencies continue to worsen. And we've updated our full year outlook accordingly. We will continue to benefit from distribution and space gains that we achieved over the past four quarters, but we will begin lapping a lot of this activity in quarter two along with some other related fill volumes. And in addition, we had two storms in the prior year, winter storms in quarter two, and then hurricanes in quarter four. And because we can't predict that, repeating that level of activity is not in our guidance. And the commodity favorability that we saw in quarter one because of rising commodity cost, we expect that to reverse in the back half of the year. Now, for the full year 2017, we think commodities are going to be about flat on a year-over-year basis, but that quarter one favorability is expected to reverse. And then finally, our fast start has allowed us to accelerate and increase some investment spending behind innovation and our product portfolio and productivity initiatives. So, a lot of moving parts, but based upon current assumptions, we do feel that our outlook of $2.55 to $2.75 is appropriate. And I'll turn it over to Alan.
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah. Good morning, Wendy. A couple of things. So, on the distribution, and let me kind of take through the two questions related to that. First, any anticipated losses, we've actually done a really good job of not only holding our distribution but capturing a new few points of distribution around the globe that have added to that organic sales growth that Brian talked about. In terms of the losses, we don't anticipate any. It's really been more about lapping prior year events, so it's fill volumes on the space and distribution gains. It's really about comping the storm activity, things like that that Brian had talked about both in his prepared remarks and in his response just now. As we think about new opportunities, here's the way I'd probably tee it up to you. Keep in mind that we are a global company. We operate over 140 markets around the world, and we currently hold a number one or number two share position in the majority of markets in which we compete. We believe that there is always opportunity to build our base share through distribution but it's really going to differ by market. It's going to differ by channel. It's going to differ by customer. But we believe remaining focused on our three core strategies and remaining committed to bringing innovation to the category as an example, operating with excellence in the stores. We have a really strong end-to-end supply chain team. And then certainly leveraging our two global brands, Energizer and Eveready, as part of our strategy, we believe are probably the best ways to not only keep current distribution but to build potentially new distribution. And the same would really apply to our HandStands business. We also see opportunity both in retailers where we currently sell and in retailers where we do not to both extend distribution and our presence in the store. And Brian anything else for you?
Brian K. Hamm - Energizer Holdings, Inc.: No. I think that sums it up.
Alan R. Hoskins - Energizer Holdings, Inc.: Thank you, Wendy.
Operator: The next question comes from Olivia Tong with Bank of America. Please go ahead.
Olivia Tong - Bank of America Merrill Lynch: I guess, obviously the distribution and shelf space gain sort of lap as you get into the second half but those alone should probably contribute, I would assume, about 1.5 (27:33) to the year. So, I fully understand that you may expect some of the benefits to slow as the year progresses, but your guidance almost assumes that some of the benefits that you got actually will reverse, and I'm not exactly sure why that would be the case because it doesn't seem like your category assumptions are shifting. So, can you help me understand that first, and then I have a follow-up.
Brian K. Hamm - Energizer Holdings, Inc.: Yeah. Olivia, it's Brian. It's not reversing but also keeping in mind that it's embedded within our guidance, specifically for organic sales growth. It includes lapping some of the fill volumes, and so anytime you obtain new distribution, increase space, there's inherently a fill volume impact. We're going to be lapping that in quarter two, three and four, and then also lapping some storm activity from prior year. So, we do expect to see continued benefit of that increased space and distribution, but there are going to be some pretty sizeable prior-year laps. They're going to be offsetting a lot of that as well.
Olivia Tong - Bank of America Merrill Lynch: Got it. Thanks. And then just on the gross margin, you mentioned that two-thirds of the benefit from – or two-thirds of the expansion that you saw this quarter sort of turns around, but that would seem to suggest you're at a plus 100-basis-point run rate then relative to your 50 basis point to 100 basis point outlook range. So, can you talk through that a little bit and then just kind of break down the gross margin expansion? If you could break it down to like commodities and pricing and things like that for the quarter, that would be great. Thanks.
Brian K. Hamm - Energizer Holdings, Inc.: Yeah. So, in the quarter, ex-unusuals, a 290-basis-point improvement. About 100 basis points was driven by productivity initiatives. It's the cost savings that our operations and our R&D teams have executed and will continue to execute. Now, we expect that benefit to continue across all four quarters. The absorption impact also added about another 100 basis points within the quarter. That's really ramping up production volumes, fully leveraging our overhead but we do view that as onetime in nature. And so, a benefit for the quarter, not seeing a benefit in quarter two or not modeling a benefit in quarter two through quarter four. Commodities were also about 100 basis points of benefit within the quarter or about $4 million to $5 million worth of benefit in quarter one. But as I said in my prepared remarks, we do expect that to reverse. About 85% of our commodity and purchase product needs are already locked up for fiscal 2017. And so for the full year we expect that to be about flat on a year-over-year basis, but that will reverse. Currency was about a 90-basis-point headwind in the quarter and we expect that unfavorability to continue. But within quarter one, we were able to offset a lot of that currency unfavorability through favorable pricing and product mix and other items. And so, in total, a lot of moving parts, but we still feel comfortable with our full-year outlook of a 50 basis point to 100 basis point improvement in the gross margin line.
Operator: The next question comes from Bill Schmitz with Dutch Bank. Please go ahead.
Bill Schmitz - Deutsche Bank Securities, Inc.: Hey, guys. It's Deutsche Bank, actually, not Dutch Bank.
Brian K. Hamm - Energizer Holdings, Inc.: Good morning, Bill.
Bill Schmitz - Deutsche Bank Securities, Inc.: So, hey. I'm still a little confused in the guidance just practically because if I look what you guys did in the first quarter, you're already at – given the year-over-year EPS growth, you're already above the midpoint of the EPS range for the year. And you're at the high end of the gross margin range. So, is the assumption that EPS is flat or down in the next three quarters, and that gross margin declines year-over-year? And then I have a follow-up.
Brian K. Hamm - Energizer Holdings, Inc.: Yes. So for the balance of the year based upon the outlook that we provided $2.55 to $2.75, and it does imply that quarter two through quarter four will be about flat year over year. But again, keeping in mind that there is going to be some items that benefited quarter one that will reverse itself out, there is going to be some laps of fill volumes, some laps of some storm activity. And then also we took the opportunity because of the fast start to the year to increase investment spending behind innovation, our product portfolio and continuing to drive productivity initiatives. And so, that investment spending, Bill, is probably the missing piece within the math.
Bill Schmitz - Deutsche Bank Securities, Inc.: Okay. That's helpful. And then, the $300 million of cash in the balance sheet, is most of that overseas? And are there any changes in terms of repatriation? What you can do with that and then maybe just some like broad comments on the M&A appetite and some of the stuff you're focusing on?
Brian K. Hamm - Energizer Holdings, Inc.: Yes. I'll take the first one and then turn it over to Alan for the M&A environment. So $300 million of cash, about 95% of that is overseas. We were able to use a significant portion of international cash for our auto care acquisition. We also have a significant international footprint that we put that cash to use. We'll always keep abreast of changes and potential tax reform that may allow us to utilize that cash in a tax efficient manner. So, it's something that we're constantly looking at as to how best to put that to work.
Alan R. Hoskins - Energizer Holdings, Inc.: And then, Bill, on the M&A, nothing has changed from last quarter or previous quarters. Brian, John, and I continue to aggressively pan the landscape for opportunities that again are good fits for our business and really our approach, the disciplined approach we've taken to this around making sure it's the right business at the right time at the right price, and within our operations a good fit, continues to be on the top of our agenda, and it's something that the three of us are heavily engaged with day to day as we go through and look at opportunities. That has not changed and that will continue to be part of our balanced approach as we look at how we use our cash going forward to make sure we deliver long-term value to our shareholders. So, no change there from what you've seen before.
Operator: The next question comes from Kevin Grundy with Jefferies. Please go ahead.
Kevin Grundy - Jefferies LLC: Thanks. Good morning, guys.
Brian K. Hamm - Energizer Holdings, Inc.: Good morning, Kevin.
Alan R. Hoskins - Energizer Holdings, Inc.: Good morning.
Kevin Grundy - Jefferies LLC: I wanted to pick up on the topic of tax but specifically ask on the potential for border adjustment tax which is pretty topical now. So, I'm not sure if you can share any of this detail, but what percentage of your U.S. cost of goods are sourced from outside the U.S.? What is the company doing at this point to plan for any potential implications? And perhaps you can share some thoughts on pricing and additional productivity measures that you would potentially take to offset the VAT should it ultimately come to fruition?
Brian K. Hamm - Energizer Holdings, Inc.: Kevin, it's Brian. I'll start and then allow Alan to chime in. So we're staying really close to what's being discussed as it relates to tax reform. Right now would be premature to draw any conclusions. From a manufacturing footprint, sourcing perspective, I guess it's important to highlight that we believe we're in a good place from a competitive standpoint, as far as the geography of our plants, the amount made in the U.S. versus the amount sourced internationally. So, from a competitive standpoint, we do not think that we're disadvantaged. It is important to highlight that a fair amount of product that we sell in the U.S. is produced domestically, in Asheboro, North Carolina, one of the world's largest alkaline plants and then also in Bennington, Vermont, where we produce some of our specialty battery types. So, with that, we're definitely staying close – working closely with our advisors. And once some of the tax reform measures become more solid then we'll definitely provide some updated outlook. As far our percent of mix produced in the U.S. versus sourced internationally, for competitive reasons, we don't want to give out that information. But, again, I will reiterate that a fair amount of what we sell in the U.S. is produced in Asheboro and then also in Bennington. And I'll turn it over to Alan.
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah. And, Kevin, the only add I have to it is depending on what gets passed and new policy changes that are put in place, we'll monitor those as we do with the rest of the financial criteria that we look at as a business and determine how that impacts the business and the necessary steps we need to take going forward to accommodate and manage through that.
Kevin Grundy - Jefferies LLC: Okay. Thank you for that. I guess we'll kind of stay tuned. One follow-up for me if I may. Share gains have obviously been very strong and the margin performance in the quarter was obviously very strong as well. Alan, a key competitor suggested that the recent distribution gains and we're seeing this in the Nielsen data, which is up double digits, suggested that it was very aggressively priced. So, the question would be is that a fair characterization? Admittedly, that would seem to be a bit at odd with the strong margin performance we're seeing in the quarter, but talk a little bit about that, maybe how you're balancing market share objectives, and profitability, and cash flow. And then, with respect to Duracell, being about a year in since the deal was closed and that business changed hands, any observations now being sort of 12 months and are close to it, and said deal closed with respect to competitive behavior? Thank you.
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah, great question, Kevin. Thanks for asking and appreciate you clarifying with us. So, here's the way I think about promotion and overall share gains that we've had. I think the audience will remember, and Kevin, you know from our Investor Day, we've been very clear that my direction to the team is to focus not on share but maximizing free cash flow. That is our primary objective. It's in our incentive plan, both short and long term, and it's the focus of the entire organization. As you take that into context, to be able to drive that, the organization has been intensely focused on our working capital initiatives as well as driving the top line but gaining profitable share. And the way that we do that is by focusing on category fundamentals. So the example would be merchandising in-store, exceptional in-store execution, making sure that we've got the right mix of products in the store, making sure we have the right customers that we're focusing against, and really leveraging our supply chain to operate and deliver with excellence. That has been from day one our focus, and I can tell you around the globe is the focus, and it will continue to be going forward. A couple of things just to sort of fact-check the comment that perhaps was suggested by a competitor. Over the holiday, retail activity – and I'm going to talk promotion for a moment and think U.S. latest 13 weeks – when you look at the overall holiday retail activity, it was similar to last year. However, there is a couple of unique callouts that I need to reference. In the U.S., depth and frequency of promotion declined in the latest 13 weeks, and that was down 1%, almost percent volume on promotion, and when you look at the percent discount, it was down almost 1.9%. The other thing I wanted to raise is that premium alkaline AUPs have increased. So, you've seen the migration from price brands to premium and specialty. As a result, we're also seeing the premium alkaline branded AUPs increase. So, these were up almost a percent during the latest 13 weeks. Now, one other note, when you think about the 13-week data, those same trends, albeit not as significant, are prevalent for the 52-week period as well. If you take that combined with the fact that we have roughly an 0.8% organic top line benefit from price mix, so think a shift more toward premium and the shift towards specialty and then even certain pack sizes, and the fact that we improved our gross margin by 290 basis points, it's sort of tough to argue that price was our primary objective and driving that down in the market is how we gain share. Really, what we've down is we've been able to go back through joint business planning work with our customers and identify opportunities to increase merchandising space in the store, but also the relevance and the productivity of that space. Should Energizer decide to participate in promotions, the one thing I will say and, Brian has done a great job leading this in the organization, along with our COO, is to decipher which types of promotional activities and events we want to participate in. Our revenue management or trade investment process that we now have installed has allowed us to step back and look at which events generate the best return. And assuming that those align with what our partners are trying to do within their own marketing mix, we'll choose to participate. But I have to tell you, and I want to reiterate for everyone, our focus is on maximizing free cash flow, not driving share.
Brian K. Hamm - Energizer Holdings, Inc.: Just a couple of items to build on that, and Alan mentioned this earlier. As it relates to market share gains, our focus has been on leading with innovation and continuing to execute in store. Leveraging our full product portfolio, and also our dual brand strategy that we believe is a competitive advantage because we can offer consumers and retailers along all of their needs, whether it's the flagship Energizer MAX or the value offering with our Eveready brand including the world's longest lasting battery in Energizer Ultimate Lithium. And then also just one final comment in building on Alan's point of focusing on free cash flow. Our account measures do not include market share, our account measures include net revenue, SG&A as a percent of sales, operating profit and free cash flow. We think that that provides a really good balanced approach to generate consistent year-over-year earnings and to maximize free cash flow.
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah. When we constructed that incentive plan at the time of spin, we really did it with the shareholders' best interest in mind. So, that's aligned across all of our colleagues and including the management team. So, we're pretty pleased with the results we're getting, but again that focus is really on driving and maximizing free cash flow. Thanks, Kevin.
Operator: The next question comes from Bill Chappell with SunTrust. Please go ahead.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Thanks. Good morning.
Brian K. Hamm - Energizer Holdings, Inc.: Good morning.
Alan R. Hoskins - Energizer Holdings, Inc.: Hi, Bill.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Just talking about both in the quarter and going forward on the market share or distribution gains. Can you kind of give us an idea how much of that is weighted towards U.S., North America versus are you gaining shares or gaining share even faster outside the U.S.?
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah. So, best way I can describe that to you, Bill, here's is how I position it. We are seeing share gains across all four areas. So, during the latest 13 weeks, if you take dollar share as an example, our global share is up for the quarter. The 13-week period we're also seeing the same thing in the U.S., Latin America, Europe and Asia. Each of those are a little bit different based on different things. So, you think about the way we're working share gains in the U.S., a lot of that is through space and distribution changes. Some pricing activity in Latin America within the Americas group, but overall we're seeing Energizer global share up 3.1 points versus the prior year during the latest 13 weeks. North America is up 3.9, Latin America is up 1.7, Europe is up 1.0, Asia is up 1.4, and the U.S. is up 3.2. If you take each of the regions and you dig into those a little bit more looking at the measured markets, Energizer has gained share in most of the markets we compete in around the world. And a lot of that again is the very clear focus and direction we've given to the teams on in-store execution, really focusing on streamlining our supply chain, making sure that we're focused on space and distribution, outpost locations. Again, all the fundamentals that we know from our experience in the category are the things that drive base share activities. And that's really what we've done to drive that share. So, I think you can see from those comments, it's not just a U.S. phenomenon. It can be Canada, it can be again across markets as we go through them. And we're going to continue to focus on that because we know it's right not only for growing the category but it's good for building business with our retailers that way as well. When you think about the work that we've done, where Energizer won, our retailers won as well, and they tended to gain share as Energizer gained share. So, we're pretty pleased with that result too.
Brian K. Hamm - Energizer Holdings, Inc.: Just one item to build on, Bill, is that we balance. When we talk a lot about the U.S., where we have had really nice performance internationally as well and it's not just measured accounts. It's we've had really nice performance distribution and space gains and non-measured accounts, channels, geographies as well, and so the team is executing very well.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Got it. And just again on that same note I just – with your change to collapse the Latin American businesses, from a reporting standpoint, it's North America, is that a change of how you're going to market or management? I know it's a different market, a little more zinc carbon versus alkaline, and maybe a little bit smaller than some of your other geographic regions. So, any change we should read into the change in reporting?
Brian K. Hamm - Energizer Holdings, Inc.: No. It's really how we manage the business, where North America and Latin America are under one leader, and also it's important to note that Latin America has decreased quite a bit in terms of overall size. And so, by breaking that out separately, it's not how we look at it internally, and we didn't think that it provided a meaningful benefit to our shareholders either, really because of its size, and the decrease in size is primarily due to the currency devaluations that have occurred.
Alan R. Hoskins - Energizer Holdings, Inc.: And then operationally, Bill, there are a lot of similar go-to-market approach as we take, and you've got customers that transcend boarders, both Latin America and North America, so it just made a lot of sense to do it.
Operator: The next question comes from Jason English with Goldman Sachs. Please go ahead.
Jason English - Goldman Sachs & Co.: Hey. Good morning, folks. Thank you for letting me ask a question. Congratulations on the strong results this quarter. Congratulations on the market share momentum. I appreciate the figures you've given in terms of market share growth. Can you give us the absolute in terms of where you're sitting now?
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah. So, overall, this again – this should be the latest 13 weeks, should be the best way to describe it to you Jason, when you think about it. So, when you look at overall global share, we sit right at the 35. And during the latest period, we are the leader in that by a slight margin. For North America, we sit at roughly at 37 share value share during the latest 13 weeks, Latin America to the 34. Europe is at around the 21, 22, but keep in mind, that's relatively strong among the branded players because of the high level of private label penetration in those markets. In Asia, we sit right at roughly 63, and then in the U.S. again, Nielsen measured for the 13 week on $1 basis, we sit right around just below 36.
Jason English - Goldman Sachs & Co.: That's helpful. So if we contemplate 3.1% growth kind of getting to the 35, and implied share gains have added almost 10% to your growth, and that the category is taking away to get you down to that 7.2% organic. So categories globally tracking down 2% to 3%. Is that the right way to think about it? And if, assuming it is because that's kind of the math, as we think about the 4%, is that a reasonable rate to assume? I mean we've got – we're lapping as you mentioned some events that may have helped it, maybe they don't help it anymore, at the same time, commodities are moving up, maybe we get a little more price. Maybe you can just give us some of the puts and takes in terms of how to think about global category growth?
Brian K. Hamm - Energizer Holdings, Inc.: Yes. So globally, our long term outlook is still flat to low single digit declines. Recently, it's performed better than that. A lot of that is attributed to the hurricane activity that drove increased demand and volume. But that's a global number, and it's obviously not a one size fits all and it varies a bit by geography. And I'll turn it over to Alan to add some additional detail.
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah. So a couple more comments from me, Bill, with a little bit on the outlook. So, there are – we don't – as a general rule, we talk about future pricing actions but pricing does come into play. We take pricing each year and it varies by market really depending on the macroeconomic conditions. And if we can bring added value to the category, for example, through innovation, so we're always looking for ways to maximize long-term value in the category. When you think about the category outlook going forward, it's going differ region to region and that's one way to think about it. And then just the category in general, when we think category volume, it's really being driven by volume – or volume being driven by devices, disasters and demographics. And over the past several years, it's been flat to slightly down, and our projection is, going forward, it's flat to low-single digit decline, and that's really driven by a couple of things. You've got the stabilization of devices that's going to occur as the conversation to battery on board is nearly complete. And then you have the advent of the Internet of Things technology and that's going to have a positive effect on the total number of devices in the market. So, while our call is flat to down low-single-digit decline, there is potential to outpace those growth expectations, but it's really going to be contingent on a few things. We're anticipating there may be some shifts to smaller cell sizes, so think AA, AAA, AAAA specialty batteries, as devices continue to miniaturize. You're going to have some growth in hearing aid as there's greater adoption of hearing aid devices by the users and the population continues to grow and the age of that population continues to increase. And then, finally, while device and demographic trends are positive, we believe that the battery innovation will continue to improve with run time. So, that's sort of an overall of what drives volume in the category. Regionally, it's a little bit different. In North America, you can probably expect volume to decline low-single digit, value is estimated to trend more positively and most of that is a result of the mix shift that is occurring to premium and specialty away from price. In Asia, particularly Australia where you've got pretty heavy price competition as discount retailers have entered the market and regional players are responding, we expect volume growth but value may lag now. We're lapping a lot of that price competition that's occurring in the market, so that potentially could change. In LatAm, because of high inflation, volume trends are starting to normalize, but as we cycle through pricing actions, we're expecting value to continue to outpace volume. And then in Europe, because again of the heavy private label penetration that's there, we expect modest volume growth, some value improvement, and most of that's going to come through growth in specialty. So, just to give you a little bit more color on what's going on behind the scenes in terms of our projections.
Operator: The next question comes from Stephen Powers with UBS. Please go ahead.
Stephen R. Powers - UBS Securities LLC: Great, thanks. I was hoping – two questions actually. One, just to cleanup on the guidance a bit more, and then a longer-term kind of strategic question. On the guidance, could you – I understand that you expect input costs now to be about flat on the year. How much in dollar terms is that sort of more negative than your prior outlook, or less advantaged?
Brian K. Hamm - Energizer Holdings, Inc.: Yes, it's consistent with our prior outlook. I think when we provided our 2017 guidance last November, we talked about commodities being flat on a year-over-year basis and it's consistent with that, but there's obviously some quarter-over-quarter swings versus a year ago, really depending upon the contracts that we've entered into with our suppliers. But for the full year, flat and that's consistent with our previous outlook.
Stephen R. Powers - UBS Securities LLC: Okay, so just to clean that up, your guidance has changed – you've got sort of roughly -- so, between the FX getting worse and the tax getting a little bit better, it seems like it's $0.07 incremental headwind that you're offsetting with the key one strength net of any incremental investments. Is that kind of the right way to think about it?
Brian K. Hamm - Energizer Holdings, Inc.: Yeah. And there's definitely a lot of moving parts. But the thing that we want to make sure that we highlight is the incremental investment spend that we're planning in the back half of the year. So, definitely, the quarter one start provided some benefit that allowed us to increase investment spend, some timing items that will reverse itself out, but in total, the full-year guidance is consistent with November.
Operator: The next question comes from Dara Mohsenian with Morgan Stanley. Please go ahead.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: Hi. So sticking to the greater investment in the balance of the year that you just mentioned behind the business, is that more innovation-driven? Is it related to advertising spending? And what's implied in the full-year guidance in terms of A&P as a percent of sales year-over-year? And then also, if you can just discuss innovation contribution versus last year, given last year was such a strong innovation year, that would be helpful.
Brian K. Hamm - Energizer Holdings, Inc.: Yeah. I'll take the first part and then turn it over to Alan. As it relates to investment spend, it's going to be related to innovation continuing to invest in our product portfolio, and then also certain productivity initiatives. We did that last year and we'll continue to do so this year, to continue to focus on cost. For competitive reasons, I really don't want to tip our hands too much as to the specific areas in which we're going to invest. But it is going to be around those three areas.
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah. And I think, the only thing I'd add to that is that the pipeline of innovation remains strong for 2017. It is comparable to 2016, more concentrated in the back half of the year and again, as Brian indicated, it's going to be supported by investments not only behind the innovation but behind the strong Bigger, Better, Bunnier marketing campaign that we have out there.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: Okay. And then, Brian, on the productivity front, you mentioned some investments for projects that can drive longer-term productivity. I guess can you discuss any of those projects as we look out beyond this fiscal year or if you feel like you have a pretty robust pipeline beyond this year?
Brian K. Hamm - Energizer Holdings, Inc.: Yeah. We do have a good pipeline. Last year, we executed a couple of productivity initiatives that's benefiting cost of goods sold. We saw that flow through our gross margin rate this quarter and we expect that to continue for the full year. So, our operations and supply chain teams continue to do a fantastic job in taking cost out and being more efficient. And also, SG&A. And so for the year, we're projecting SG&A of 50 basis point to 100 basis point improvement and SG&A continues to be a focus for us. And both of those are going to be driver to allowing us to drive consistent year-over-year earnings growth, and it's embedded in that outlook.
Operator: The next question comes from William Reuter with Bank of America Merrill Lynch. Please go ahead.
William Michael Reuter - Bank of America Merrill Lynch: Hi. I have two questions. The first, I was wondering if you could provide an update on what percentage of your products or I guess your customers are e-commerce retailers and I guess how do you see this share shifting. And then, secondly, if you can just provide us an update on what your target leverage metric is? Thank you.
Alan R. Hoskins - Energizer Holdings, Inc.: Yeah. I'll take the first one and then pass it over to Brian. So, on the e-commerce so just from a strategy standpoint, for competitive reasons, we've not shared our e-commerce strategy externally. What I can say is that we've got a really well developed e-comm strategy for our product portfolio that's going to allow us to position our brands and extend them out to consumers. And we'll do that both through pure play online retailers and brick and click retailers. Today, totally e-commerce sales of batteries are relatively small. It's about 5% of measured battery sales globally. We do recognize it as an important channel going forward, and as such, we've developed a strategy to be able to capture that potential growth. But in terms of its size today, it's around 5%. The majority of that's in the U.S. and that's predominately Amazon.
Brian K. Hamm - Energizer Holdings, Inc.: And Bill, it's Brian. As far as target leverage level, it's not something that we provided. Currently, we set it at 2.8 times. We think that that puts us is a very good position to capitalize upon opportunities as they arise.
Operator: All right. And this concludes the question-and-answer session of the call. I would now like to turn the call back over to Alan Hoskins for closing remarks.
Alan R. Hoskins - Energizer Holdings, Inc.: Thanks, operator. As always, thanks for joining us on the call today and for your continued interest in Energizer. We appreciate it. Have a good day.
Operator: The conference has now concluded. Thank you for joining today's presentation. You may now disconnect.